Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Liberty Global's First Quarter 2019 Results Investor Call. This call and the associated webcast are the property of Liberty Global and any redistribution, retransmission or rebroadcast of this call or webcast in any form without the expressed written consent of Liberty Global is strictly prohibited. At this time, all participants are in listen-only mode. Today's formal presentation materials can be found under the Investor Relations section of Liberty Global's website at libertyglobal.com. After today's formal presentation, instructions will be given for a question-and-answer session. Page 2 of the slides details the company's safe harbor statement regarding forward-looking statements. Today's presentation may include forward-looking statements within the meaning of Private Securities Litigation Reform Act of 1995 including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed in Liberty Global's filings with the Securities and Exchange Commission including its most recently filed Forms 10-Q and 10-K as amended. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the condition on which any such statement is based. I would now like to turn the call over to Mr. Mike Fries.
Mike Fries: All right. Thanks, operator, and welcome, everyone. We're glad you joined us this morning or this afternoon wherever you maybe. The plan is to jump right into prepared remarks, so there's plenty of time for questions and I'm joined by most of my senior executive team who I'll try to get involved in the Q&A, so you can hear from them as well. Now as usual, we are speaking off of slides. So, hopefully you've got those in front of you or you can grab them later. There's some good information in there. And then what I'll do, I'll kick off on slide four with the key highlights from the first quarter. I think it goes without saying that this is an incredibly exciting and strategic inflection point for this company. As you all know, we're on the verge of completing a series of transactions that will leave us with a more concentrated operating platform in Western Europe that serves an aggregate of 33 million RGUs and generates $4.8 billion of consolidated operating cash flow at the opco level and another $2 billion through our 50-50 JV in Holland and over $15 billion of cash and liquidity realized through asset sales at prices that are nearly twice our current implied trading multiple. John and I were talking the other day and we can't remember a time actually when a business was so well positioned to create value for shareholders. Not surprisingly then, the first few bullets on this slide address the status of those transactions beginning with the Vodafone deal, and for anyone watching it closely, which I'm guessing a few of you are you know that consistent and material progress has been made with the European Commission and as a result we remain confident of a summer closing. I'm happy to take questions on any of that. The sale of UPC Switzerland is also winding its way through the regulatory process. The transaction was officially notified to the Swiss Competition Authority on the 1st of May, which starts the process of review. The timing here looks more like Q4 to us and of course we'll be updating you as we move along the way. And as almost a footnote we also completed the sale of our DTH business in Central and Eastern Europe for EUR180 million. On the right hand side of the slide, you'll see some headline operating results for the first quarter shown on a reported basis and on a guidance basis with the key difference being that the guidance figures exclude Switzerland. So, I'll just focus on the second set of numbers in the white box that correspond to our guidance. During the quarter we added 68,000 new RGUs about twice the prior year growth and up significantly from 16,000 in the fourth quarter. Revenue growth was largely flat year-over-year and OCF grew about 1% which is consistent with our guidance for the full year of flat to down OCF growth and reflects headwinds in the U.K. that we foreshadowed a couple of months ago. Three other key takeaways from our Q1 operating results are highlighted here. First Virgin Media had a strong RGU quarter with higher net adds sequentially and year-over-year. UPC Switzerland is starting to show emerging green-shoots from the core elements of our turnaround plan, and I'll speak about that. And as expected, we saw a significant reduction in CapEx spend of almost 30% in the quarter, which drove operating free cash flow up 2.5 times from the year earlier period. That is of course one of the big story lines this year and I'll dig into all three of these headlines in the next few slides as will Charlie in his remarks. The slide five shows a bit more detail on net add growth by quarter and by product. Now, if you just focus on the orange section of the bar you'll see that broadband growth has been steady and about 35,000 to 40,000 each quarter for this continuing set of operations and was up meaningfully in Q1 this year to 57,000. Two key drivers here. First, we continue to push our speed leadership with 500 megabits rolled out nationwide at the end of last month in the U.K. and gigabit launches across our markets. And second we're committed to a better WiFi experience for all. With our Connect boxes now installed in two-thirds of our base and the launch of Intelligent WiFi and our cutting-edge Connect app. Video losses were roughly evenly split between Virgin and Belgium in the quarter. Churn on the SFR footprint impacted Telenet's QM result, but with subscriber migration now complete and improved operational performance is expected from Q2 onwards and Virgin continues to target high-value TV customers as we seek to monetize our investments in content and functionality, and this approach has led to some softness in the Q1 intake, but should ultimately yield ARPU and churn benefits. You'd have also seen that we announced a multiyear partnership with Amazon Prime Video in the U.K. starting this summer 2019. So, we'll put the prime video app on our Ultra HD TV set-top box and similar to earlier agreements with like Netflix. This enhances our strategy of combining the very best OTT apps and offerings with our own world-class content and TV functionality to create a seamlessly integrated experience. That's where it's heading. EOS and Horizon4 are doing exactly what we hoped. Together, they're a one-two punch, a faster 4K box and the best UI in Europe and everywhere we've rolled out one or both NPS is up and consumers are loving it. And then lastly we're well positioned on fixed-mobile convergence. Belgium and Holland are of course fully converged today and reaping the benefits of lower churn and higher NPS while the U.K. and Switzerland which I'll talk about in a second are MVNO-based and just really getting started. All-in total postpaid mobile add including Switzerland were over 70,000 in the quarter. And the next couple of slides beginning on page six provide a bit more detail on our largest operation, Virgin Media. And you can see on the left-hand side customer net adds or new homes connected were up sequentially and year-over-year at 25,000. It helped deliver nearly 60,000 RGU net adds. It's important to point out that growth was a result of the improved performance in lightning and non-lightning areas and supported by market-leading broadband bundles that really helped drive a 10 basis point improvement in 12-month rolling churn. Now I'll talk more about the plans in place to drive continued growth in the consumer business in a second. You'd also see that Q1 ARPU is modestly lower year-over-year after four quarters of positive growth and there are a few factors at play here most of which were not part of our ongoing subscription revenue. First of all Virgin had lower install revenue in Q1 2019 versus 2018 as we ramp down the number of CPE upgrades and saw a related reduction in activation fees. As in prior quarters, we saw lower telephony usage, but we also experienced lower pay-per-view revenue largely due to fewer boxing events in the first quarter. And then finally the team did increase the depth of promotional discounts on certain bundles in response to market dynamics particularly in January and February. It's important to note that the pay-per-view revenue had been the same as last year. ARPU growth would have been positive. It's also important to note that we continue to target an improvement in ARPU throughout the balance of the year on the back of new consumer bundles, which launched at the end of April and a series of product innovations that Lutz and his team had been working on that I'll highlight on the next slide. On the right-hand side of this slide though we provide an update on Project Lightning, which continues to drive financial operating and strategic value for Virgin. Everyone's talking about building out the U.K.'s next great network and we're the only ones actually doing it today with 500 megabits available nationally on our footprint a 1-gig cities rolling out and 400,000 to 500,000 new homes added to our network every year. Today, we've built and released 1.7 million new homes across the U.K. and Ireland more than the entire market combined and we've added 370,000 new customers and 900,000 RGUs on those networks. ARPUs and penetration rates are in line with expectation. The cost per premise continues to decline as we get smarter and the revenue in OCF on a project level were up 50% year-over-year. With unlevered IRRs in the mid-20s we are as committed as ever to this build-out and as you might expect are exploring creative ways to expand or partner or finance expansion beyond our current plans. I'm sure you've all seen the announcement that Lutz Schuler will be assuming the CEO role at Virgin Media starting June 11th. I am extremely thankful to Tom Mockridge, who over the last six years really transformed Virgin Media into a dynamic market share leader in broadband and video delivering a 5% annual growth in OCF through his tenure and positioning the company for continued leadership in video with V6 launch and Horizon4 around the corner. In broadband with 500 megabits speeds everywhere 1-gig cities popping up and in convergence with the best MVNO deal we have in Europe. Now having said that, I'm thrilled that Lutz is here to take the reins. He has been a star performer in Germany and since September of last year has set the stage for a revamp of our consumer business at Virgin. This slide seven highlights a few of those strategies. Most of which are incubating, but some of which have already rolled out like Virgin's new FMC bundles which launched April 29th and have already delivered encouraging results with mobile attachment rates. For example our new V.VIP bundle offers it all. 500 megabit broadband speeds at seven times faster than the competition, a mobile SIM with unlimited data, full house TV with Sky premiums, two V6 set-top boxes and inclusive any time landline calls all for around GBP100 per month on a 12-month contract. Customers can also add a mobile SIM with a broad choice of data bundles to all our standard packages, which comes with additional speed boost. Our research shows that people want convergence. They're craving the increased simplicity that FMC brings with a single bill and access the information about their fixed to mobile services along with a dedicated service team and of course the speed boost.  Now it's still early days. Above-the-line activity will start in mid-June, but this product should also drive improved churn and underpin ARPU growth that it has in another markets. Lutz and his team have also been working hard to keep improving customer experience and engagement with products like Personal Picks which offers customers attractively priced video bolt-ons that they can add onto their entry-level player TV service. As I mentioned, we've also launched Intelligent WiFi to improve the in-home experience to our broadband customers using the Connect2 app. Additional upgrades for the product portfolio include the Amazon Prime video product I just mentioned in Horizon4. All of those things should drive NPS up as it has in other cities and markets. Now the goal of all these improvements is to optimize the lifetime value of customers by reducing churn, maximizing cross-sell and upsell, and supporting ARPU growth. Then lastly, on the sales side Lutz and the team have been rationalizing high-cost sales channels by closing stores and pivoting to more online sales, which now make up around 35% of total sales, and they're investing as you would expect in a seamless digital experience across touch points for potential and existing customers. That includes sales, payments, help, service all things that will drive NPS up and reduce costs. So, finally switching gears to Switzerland. The next couple of slides provide an update on the really good work Severina and her team had been doing on the ground there. Even though we don't include Switzerland in our guidance we know that both Liberty and Sunrise shareholders would benefit from some additional transparency here and the punch line is that the turnaround plan is working. As the charts on the left indicate RGU losses were marginally better than Q4, but don't yet show the benefit of a strong sales month in March and new products and bundles. ARPU on the other hand has returned to growth. It was up 3.6% in Q1 driven in part by an improved entertainment bundle and tier mix. And the new MVNO with Swisscom has delivered on the promise of unlimited product offers and led to 13,000 net postpay mobile adds in the quarter. Financially, at the bottom of the slide on the left, you can see steady improvement in the revenue and operating cash flow losses. But I think it's important to remind everyone this is a transition year and we are investing both OpEx and CapEx into this program and the initiatives are really highlighted on the right-hand side. All of these things are working. The 1-gig rollout is ahead of time and we'll launch this year along with major benefits of the digitization plan, but two of these initiatives are already showing significant result and are summarized on the next slide, slide nine. Switzerland is the first market where we've launched both the EOS box and the new Horizon4 user interface together and the results are fantastic. We now have 130,000 boxes rolled out at the end of April. That alone is a great sign of success and we're looking to be in roughly half of video homes by the end of the year, but much more importantly consumers love it as evidenced by a 30-point improvement in product NPS record sales in March up 30% and a reduction in truck rolls, customer calls. Similarly that team is seeing great results in fixed-mobile convergence with over 160,000 mobile subs now on the Swisscom network, which we switched over to at the beginning of the year. We have record Q1 sales of 19,000 on the back of our unlimited offers. We have record product NPS and a 15% cross-sell rate on the fixed pace. And we've started to see the same churn benefits as Holland and Belgium. So I'm extremely happy with Severina and the team and the work they're doing on this plan and we're all excited to get this deal across the line. With that, I'll turn it over to you Charlie.
Charlie Bracken: Thanks Mike. I am now on the slide entitled revenue and OCF growth. Now, if you look at the figures for the continued operations, we had a revenue decline of minus 0.6%, an OCF decline of minus 0.5%. Excluding Switzerland that's the basis of our 2019 guidance, revenue was broadly flat and OCF grew by around 1%. Mike talked about what's been driving the numbers in the U.K. & Ireland and Switzerland. So, I'm going to briefly address the other segments. In the top right, you can see that Belgium recorded 2.2% of OCF growth, with a slight decline in revenue. As you probably heard on the results call last week, the loss of the media contract and certain regulatory headwinds will have a more pronounced impact in Q2 and that's factored into our full year expectations. CEE delivered revenue and OCF growth of 2% which was driven by top line growth from B2B and new build predominantly in Poland. And for our central and other segment revenues were $61 million. Now to remind you these are largely to do with the TSAs that we have with our Dutch joint venture and our former business in Austria, and the net OCF costs were minus $86 million versus minus $107 million in Q1 of 2018. This year-on-year reduction represents our continued initiatives to resize central costs in line with the smaller groups scope. Now, to emphasize that the central cost trajectory that we laid out in our full results call is going to continue. Namely that the $260 million of OpEx for corporate functions will be reduced by approximately 20% by 2020 and approximately $900 million of Central T&I or technology and innovation OpEx and CapEx will decline at the time in part due to the decline in services under the multiyear TSA agreements. We'll turn now to the slide titled cash, leverage and liquidity. Q1 reported free cash flow for our continued operations was negative $625 million which was an improvement year-on-year versus the negative $999 million of Q1 2018. We've also laid out the various adjustments to bridge from our reported free cash flow of $625 million to the pro forma free cash flow number of $622 million, which is the basis of our guidance that excludes Switzerland. Now I'm going to cover the underlying driver numbers shortly. So, I'll come back to that then. Our Q1 leverage was 5.4 times growth and 5.3 times net debt to quarterly EBITDA, and this is in line with our budgeted expectations and we expect the full year even without the proceeds from many plan disposals to be within our four times to five times range. Liquidity remains strong at $3.4 billion including around $900 million of cash and we still plan to spend around $500 million in the first half of the year on stock purchases. Turning to the next slide, which breaks down our Q1 property and equipment additions and operating free cash flow. Excluding Switzerland we saw a year-on-year reduction of 31% in property and equipment additions resulting in a spend of $640 million or 25% of sales. Including Switzerland the figure was $659 million represented 24% of sales and showed a decline of 29% and that was in the quarter where we connected over 100,000 new premises in the U.K. & Ireland. Now, we remain on track to deliver a 20% reduction in CapEx for the full year. Of the significant upgrade of our set-top boxes state in the U.K. in 2018 we saw a significant reduction in CPE spend in the U.K. Following the peak investments in product and enablers including our MVNO and voice-over-IP platforms we also saw a reduction in spend in that category of 39%. Belgium is on track to achieve the more normalized CapEx to sales ratio of around 20% following the completion of its fixed and mobile network upgrades in 2018. And having said all of this, we continue to invest in Switzerland and as Mike noted this increased spend is focused on the roll out of EOS boxes in that market for 1-gig upgrade and also the investment in digitization. If you look to the top right of the slide you'll see the impact by declining CapEx has had on the operating free cash flow which grew by 74% including Switzerland and more than double that number if you exclude Switzerland. Turning to next slide, which details Q1 pro forma free cash flow for our continuing operations excluding Switzerland. We presented the numbers in the format that we used for our year-end results, which isolates working capital flows. And as you can see pro forma operating free cash flow was $442 million, which included a $75 million investments in Project Lightning. Q1 and Q3 are where we make virtually all our semiannual interest payments, which had a cash interest spend of $561 million for the quarter. Our Q1 tax payment of $181 million was virtually all accounted for by Belgium's annual payment. The working capital flows in Q1 are typically negative as we unwind our higher Q4 paddles resulting from the seasonally higher CapEx in that quarter and that contributed to a negative working capital flow of $322 million resulting in a total negative outflow for the quarter of $622 million. Q1 free cash flow is in line with our expectations and we continue to expect the full year free cash flow for the continuing operations excluding Switzerland to be in line with our guidance of $550 million to $600 million. Now remember also that this number includes our estimated $400 million to $500 million negative free cash flow from Project Lightning. So, moving to the final slide, in conclusion the transactions with Vodafone and Sunrise remain on track. We think Virgin Media had a pretty strong Q1 subscriber result particularly considering the negative sentiments around in Brexit. And despite the flat ARPU results we believe that our product innovation and speed leadership will continue to underpin pricing power. Switzerland is beginning to show green-shoots with its turnaround plan which remains firmly on track and we're confirming all of our 2019 guidance targets. So, with that, operator can we open up to questions?
Operator: [Operator Instructions] And our first question comes from Robert Grindle with Deutsche Bank.
Robert Grindle: It's Robert from Deutsche Bank. Mike can I take you back to your comment you referred in your speech to innovative and creative ways to expand. I think it was the network please could you expand on that are using kind of using BT's ducks and pulls perhaps to reduce the cost. I know it's your cost per build is lower this quarter than prior. Is that a new thing and to address press commentary are you thinking of wholesaling to other suppliers? Thank you.
Mike Fries: Yes thanks, Robert. Look as I think the reference there was really just to point out that, why wouldn't we be looking at creative and innovative ways to continue expanding the network. The results so far for lightning in our minds, have been exactly what we wanted them to be successful, productive, operationally, strategically and we think the capital that we're allocating to that project is really good capital. But as you know, the market is moving quickly, there are lots of start-ups I guess I would call them. Hoping to build fiber in various places and of course - BT can reach deciding that at some point, they will also get more serious about fiber. So it's smart for us to be creative and flexible and opportunistic. I have nothing specific to say about that other than to assure you, we're doing what we should be doing, which is looking at all options to be sure that the Virgin network and the Virgin product is available as widely as possible. If we were to do something I don't see it hitting our balance sheet as such, or our cash flows. I think there are ways to possibly look at network expansion and in more creative fashions. So that was really the only point there. What was the second question, Robert?
Robert Grindle: It about - that you might be considering wholesaling your network in the U.K.?
Mike Fries: Yes, no comment there I mean, I have no comment on that.
Operator: We'll move now to Ben Swinburne with Morgan Stanley.
Ben Swinburne: Maybe just to dig into the virgin ARPU trends a little bit that more Mike, you gave us some good detail. As you look out from here, what are the drivers of ARPU, improving the discount headwinds, you talked about go away. I know you mentioned pay-per-view. And could you maybe talk about how the mix of subs in the lightning versus the BAU markets impacts ARPU if at all of those. A short-term depressant on ARPU because they're coming on in discounts is anymore color there because that's obviously a huge lever for you guys. And then just on sort of use of proceeds and capital structure, rates have come in a lot, I'm just curious if you guys see kind of post close on some of these major asset sales and opportunity maybe repriced some of your debt facilities downward, I don’t know if Charlie has any thoughts on that once you look out beyond, particularly the Vodafone sale? Thank you, guys.
Mike Fries: Yes thanks Ben. I’ll let Lutz work up an answer on the ARPU question on the use of proceeds. I mean, there won't be a satisfactory answer to this question that will make everybody happy. We're still three months away from the Vodafone deal closing and of course more like six months, probably for Switzerland. So and there are no large or even small transactions in the pipeline. I wish I could be more specific about capital structure, we are looking at, as you would imagine, all of the various buttons on the fruit machine to be sure that we're optimizing the capital structure, whether that's on the balance sheet or through buybacks and probably not prudent for us to be any more specific about that, as we sit here today. Lutz do you want to address the ARPU question?
Lutz Schüler: Yes, I mean on ARPU we distinguish between subscription ARPU and non-subscription ARPU and the underlying subscription ARPU is still growing at up to 9% right. And I mean it used to grow about 6% the previous quarter so it’s a bit lighter. This is because of two things, we had less installation revenue because we had a huge box swap with [indiscernible] year ago. And the other thing is we had some higher promotional activities Q1 according to our knowledge, Q1 2019 in terms of growth compared to a year ago, is a 11% down so 11% less profit. So therefore, that was a bit higher promotional activity. However, this is the biggest part by far the biggest part of the ARPU and it is growing and it will continue to grow. While, the non-subscription ARPU where you see a huge shrinkage around 15% down to £2.50 now, and this was driven by two things less pay per views. This is more a phasing thing because there was simply not big boxing event and the other thing is declining voice usage. I think the good news on the non-subscription revenue is that it came down during the last six years from £8 to £2.50. While we have been able to increase the subscription revenue at the same timeframe of around £11 so therefore, there is not so much go down anymore right. So therefore only from that comparison, you see the ARPU growing in future. But also, and this is what Mike mentioned, when I joined UK, eight months ago we created growth strategy for consumer and now we have launched the first items and the biggest one is for me it's more conversion right. And you see that from other markets so customers who have really quite play from us. They have higher ARPU and lower churn. I mean the VVIP for €99 you get the best of the best from us and the attachment rate of mobile only after the first week of launching it is incredibly high, so very encouraging here. Personal ticks I mean that is simply we want, we are focusing more on higher value TV subscribers and therefore we have snag of the content now and that will also lead to higher ARPU. And we are going to launch targeted advertising together with Sky in a couple of weeks from now and this also would help us to generate revenue. And we have launched intelligent WiFi end of March, which leads to better in-home coverage WiFi higher customer satisfaction. So a lot of innovation have kicked in now the last month, and that will help us to increase ARPU and also, which gives us pricing power for the future.
Operator: Next, we have Goldman Sachs, Michael Bishop.
Michael Bishop: Just following up on the UK I just like to change the direction a little bit to the regulation and the recent update from Ofcom, because it feels like, clearly there is a lot of pressure in the market in terms of discounting from the volume discounts that have been passed through by Openreach to the resellers. But if you read the latest Ofcom documents it talks quite explicitly about re-injecting margin into the infrastructure layer potentially with some more detail later in this year. So I will be really interested in your thoughts on that, please. And then just maybe it's a very quick follow-up, you mentioned that you'd seen encouraging results, albeit from a soft launch on FMC, could you give us a little bit more color about sort of the strategy on FMC and how big you think the initial market would be for people really looking to move to those converged products? Thanks.
Mike Fries: Sure Lutz, you can address the FMC question more specifically, I think on the Ofcom point, you're right. One of the market pressures that Virgin Media experienced in Q1, though difficult to say how large an impact, it was in the overall scheme of things. Because probably related to the discounting that might be resulting from volume discounts from BT Openreach. Again those are generally on lower-end customers from market that were typically not attacking or even marketing to. But I think in the end, that has had a minor impact in the first quarter and we'll see if that continues in the second and third quarter. I think the one main point I noticed that the market is heading towards superfast broadband and volume discounts on 36 meg or low end speeds are temporary moments, because it's our opinion and that's certainly there's plenty of capital and activity in this space that the U.K. will be a superfast market we're already 500 meg across our footprint going to a gig. And that's the space where we play. So while it might create some flux in the market quarter-to-quarter, I think over the long term, we don't believe it's going to have a large impact in that everybody is leaning into faster networks and hoping as you point out for greater margin, which means more price stability over the long haul. Lutz you want to talk about FMC more detailed.
Thomas Mockridge: Yes, I think, first of all, but when you talk with FMC. Proper FMC hasn't been launched in U.K. so far. So you see on the mobile as bolt-ons. I mean we are leading with that, right 20% of our customer, our cable customers use mobile on top as it is more important. So if you look at other markets such as Netherlands, Belgium, Germany, U.S., really proper FMC products. So we have now launched a proper FMC product, right. You have higher speed, you have unlimited data, you have the higher service level of the customer and you get mobile phone at the best price. So, really a bundle, one probably should. And I mean we have launched that as a soft launch because we want to make sure that whole processes are working within six months from the idea to launch, we had been very fast and now the importance is the more the tax rate to it, and I don't want to disclose so much here because we don't want to wake competition out, but I think it's very encouraging. And at the end, right, where you talk numbers I think in other markets, you see a mobile penetration in a cable base of 40% or even more and why shouldn't that be also the case in U.K.
Operator: We’ll move now to Vijay Jayant with Evercore.
Vijay Jayant: Can you sort of talk about your broad views on vertical integration. Obviously, the company is already all-in-on the converged network, but is there an opportunity there on sort of convergence with content, dissipate philosophically? Second, you guys called out in your press release about mobile handset sales moderating, can you just give us some perspective on what's the underlying profitability impact of a decline in those sales. Is this a competitive impact or is this more customers bringing their own devices in the markets. Thank you.
Mike Fries: Sure. On the handset question maybe Lutz could provide some color. But it's not a profitability issues you know, there's there very little margin on the handset sale itself. So it's really create more volatility in revenue than it does in OCF for us. On the vertical integration question, I think we've done it the right way to date, Vijay. If you take Holland, for example, or even in Belgium, and more recently, Switzerland, if we focused on content that's really moving the needle for consumers so that sports, local sports generally, whether Zigasports or My Sports in Switzerland or Telenet sports package. These are things that we know consumers want will pay for and we can isolate and acquire those rights at relatively inexpensive prices without changing materially the dynamics of the economics of the business model. And that that strategy where you can sort of find critical content not necessarily all the content and provide a bit more exclusivity and power to your package usually works for us. And you're not necessarily gambling. In the case of Ireland taken a slightly different approach, where we acquired two very small broadcast networks and that has worked very well for us. We rebranded them Virgin, we've been able to cross promote and cross-sell and we've done it really cost effectively and economically. So I think we believe in some instances vertical integration in European markets makes sense. We're not I think there is a limit to where that makes sense. And at this point at Virgin, we don't see any immediate need or we tend to go beyond what we've done. Remember Virgin has all the content. It has all Sky content, has all the key movie content, has all the sports content, we've launched Netflix. Now we'll have Amazon on the box voice control. I mean it doesn't really - there's very little, you can get if anything on Virgin. And so you have to ask yourself, what would the real advantage of further vertical integration be in that market at this point, we don't see it. Lutz you want to address the handset question any further.
Thomas Mockridge: Yes. On the mobile question I think 15 months ago, the team has launched mobile offering - mobile handset offering called freestyle. So it's installment for 36 months and that has helped to sell a lot into the mobile customer base. And now each proportion of the mobile customer base has the phone already and therefore the future sales are not so strong anymore. Having said that, if you compare also here the U.K. market with other markets, 85% of the U.K. market is sitting on the subsidized market. So you pay your mobile contract together with your mobile phone and you get a subsidized phone but then you pay for the phone even longer than your minimum contract lines. Other markets, for instance like Germany, you have 50% on the SIM free model, and I think this is an huge opportunity for us. So therefore we will be offering in the future, the complete range of mobile devices, including set-top and we will offer that for with installment 36 months and we use that to simply drive traffic into our stores. So therefore, I think it is great either not so much in margin either more traffic.
Operator: We'll move now to your Ulrich Rathe with Jefferies.
Ulrich Rathe: I just was wondering, in particular on the U.K. ARPU you mentioned discounting. I'm interested if you have a bit more color in terms of what the discounting is going into the existing base and also sort of managed churn whether that you're seeing here is sort of the discounting on the, front book on the new intake is my first question, please.
Thomas Mockridge: Yes, I can take that. Based on the less discounting in the customer base compared to the previous quarters and we have done more promotions for the new sales compared with previous quarters.
Ulrich Rathe: Indeed, and if I could follow up with another question, let's say Mike, please. The Vodafone sort of announced remedy package to the European Commission, obviously you're not directly involved I suppose in this process, but I was wondering whether the package that Vodafone has now designed and offered would affect the purchase price in any way, shape or forms. In other words, whether anything is agreeing with contingent upon the remedies whether this is all sort of happening at the side of the [indiscernible] from it. Thank you.
Mike Fries: Yes, so I mean, for those who may not have seen this morning, Vodafone announced the long-term cable wholesale agreement with Telefonica in Germany that covers 100% of the footprint Unitymedia and Vodafone, about 24 million homes. The terms are confidential, but they will provide availability of up to 300 megabit speeds to Telefonica and they also announced today that they're going to upgrade the entire footprint to 1 gig by 2022 and then lastly, they put in the press release that they believe the deal will be approved in July. Obviously we're supportive in all sorts of ways of this particular - is clear and comprehensive it addresses definitively any concerns that may have existed around broadband competition and this is a huge win for Germany consumers and I'm not just saying that I have Vodafone squarely focused on upgrading the entire footprint providing access to a third party, who can also take advantage of that seems like a really positive win-win. And we don't believe it has any impact on our transaction other than speeding up closing in providing far more certainty than we had yesterday of that closing.
Operator: And our next question comes from Jeff Wlodarczak with Pivotal Research.
Jeff Wlodarczak: I had one for Lutz and one for Mike, I guess for Lutz, you've been COO of Virgin Media since September of 2018. You're about to be elevated to CEO, what do you see is the biggest opportunity, and the biggest challenge for Virgin. And then for Mike, a bigger picture question on the U.K. and a follow-up on data. From a data penetration perspective in the U.K., you're about six years behind your U.S. cable peers. How much of that would you say is related to the fact that DSL historically has been a much more robust product in the U.K. versus sort of the competitive environment. And now that you've taken your speeds to 500 megabits or eight times your peers. You have a cost-efficient path to 10 Gig and I assume consumer data continues to go up, is it fair to say be in the long-term, you expect to close the gap with data household penetration with the U.S. peers? Thanks.
Mike Fries: Sure, so Lutz you want to start?
Lutz Schüler: Yes, thanks for the question, Jeff. Yes, I think the big opportunities we are having here is, first of all the brand I think Virgin Media touches from brand. And I mean I was part of the team who came up with the brand or two I have to say I did a lot of work on the brand Unitymedia but we never had such an opportunity in Germany what we are going to have with Virgin Media as a brand, I think we can do huge growth with that brand. And then to use that brand, we came up with four levers and I think Mike has mentioned them with a one or six more conversions. One is digitization huge opportunity both for growth and cost saving. One is sales simply to have and – very decisioned go-to-market model. Sell more to lightning customers. And then the most important one is base management. I mean we have close to 50% market share. So it's all about share of wallet and to manage the customer base in the way that we have more satisfied customers, you can up-sell more and you do everything online and if lower churn is a big value growth. So therefore, I think clearly in the consumer machine because the consumer machine is the biggest machine of Virgin media they have huge growth. And in terms of challenge well, I think it's a big company right and it was also founded out of couple of smaller independent cable companies right. And if you want to shift gears and grow more than you need to manage the complexity. So therefore, I would say the challenges a bit to get the balance right between grows, but also the remaining complexity of a maybe proper integration of systems side everything Tom has started. But we're just not finished yet.
Mike Fries: Yes on the data question Jeff, I mean the key point is on footprint. We're generally 40% to 50% market share. So the balance is split between three or four different resellers, you don't have that in the U.S. marketplace. It's really a two-horse race and so Sky is an effective marketing machine BT, of course, has a nationwide reach of DSL is an effective marketing machine with sports and all sorts of things that they're selling. So the fact that we are on footprint outperform them to one, when it comes to penetration of broadband says it all. And that has a lot to do with the fact that our products are five to eight times faster than theirs and will – are likely to be faster than theirs for a very long time, because it will take. The fiber in the market today is 3% or 4% of homes and we're going to 1 Gig as quickly as we can. As you say, ultimately to 10 Gig. So I don't want to say the race is over, but Virgin is running at a different race than the rest of the UK broadband providers, but it is a bundled market And we know that people aren’t going generally buy broadband if they don't have a video product and solution as well and we make lots of margin on our video products still, despite what's happening. Let's say in the US video for us is still a profitable product, and with a high rate of return, and that has to be part of our bundle. And so it's competitive in broadband and I think ultimately, you'll see speeds, continue to accelerate in this marketplace, as they have in the U.S. maybe faster than they have in the U.S. And our goal is to be leading the way and not just with fast broadband. But as Lutz said with fixed mobile convergence bundles, with video products that are best-in-class with a new box, the V6 box plus a new horizon UI coming very shortly here remember that's got it basically touch one in this market. And there won't be anybody who can touch Virgin but once all those pieces of the puzzle come together, the fastest broadband networks of fixed mobile product by far the most sophisticated video platform with pretty much all of the content that can be available integrating OTT apps. And so the magic here as Lutz identified is to make sure the machine is running properly and there is complexity in a big company like Virgin. And I feel, he's got the right talent and the right focus, to get that sorted out and keep the marketing engine humming at as fast as possible and be keep innovating. There's no substitute for being first or being best in all of these particular products and services and – we're excited about Virgin. As I've said many times, as we sit and look at it today, strategically complete. We have a great MVNO deal we've got long-term relationships with our core content providers like Sky we also get renegotiated. We have the fastest network and we're building 400,000 to 500,000 new homes every year. We have creative opportunities to accelerate that off balance sheet if we choose. I think it's – Virgin is in a really good spot.
Operator: Our next question comes from Nick Lyall with SocGen.
Nick Lyall: This is Nick at SocGen Mike. Well a couple questions please. You mentioned on the VodafoneZiggo release that the final thought is for cable access wholesale cable access sorry be in the market, since the end of March. Could you give us an update at all on any talks or responses as you may have had from other operators, and from the Dutch regulator please. And then secondly, you also mentioned the VodafoneZiggo remedies today with the cable wholesale again. Just in general, do you see increased pressure for cable wholesale organically from regulators and do you think this is going to be a future part of any remedies that anybody would need to offer in a fixed mobile deal in Europe and how do you think? Thank you.
Mike Fries: Yes, good question, I'll let Manuel or Charlie or maybe Manuel cook up the answer on exactly what we can say about the Dutch - and about what we can say in the debt market, specifically about that cable wholesale offer. I’ll just speak more generally, that I think cable wholesale is obviously if you look today versus five years ago, a much more prominent part of our business and of the market environment more generally. But I think it's very situational, I think it has three or four factors that get built into the decision. It's very much a political decision to begin with so that - it will be determined by what could you put us on mute. So you're ready - will be determined by what the local politics are in a particular marketplace and how cable is perceived. It will be a competitive decision just how dynamic is the market for broadband and other products. And it maybe a transactional element as you point out, in the case of Belgium or Holland, if you remember the VodafoneZiggo deal cable access was not required in that transaction. It was only subsequently introduced on a political basis, which we continue to argue with and fighting the courts and certainly commission itself doesn't necessarily see that as necessary, but has been unwilling to stop it for other reasons. And then the German transaction this was a voluntary commercial arrangement between two operators. It is a cable wholesale access deal, but it's not available to all parties. It's a transaction between two very specific parties and in that it's been. So I would say it's very different than Belgium, which is regulated wholesale access. So I think it's going to be market-by-market, situation-by-situation determined by politics and the transaction itself and in some instances. For example in Germany it was a voluntary decision by two commercial parties that they believe will benefit each other and we don't see a big problem with that as a general matter. In terms of the Dutch market specifically Manuel why don’t you offer what we can say about that.
Manuel Kohnstamm: Yes not very much but the Dutch regulator has created conditions for negotiations between VodafoneZiggo and interested parties. What we can say is there has been expressions a number of expressions of interest, but no actual discussions are going on as we speak. And it’s worth to mention that it’s different from the regulated system in Belgium, where in Holland the regulator asks the parties first to negotiate and only later intervened. The other thing to mention is that the Dutch case, the Dutch Regulatory situation is still pending and litigation in before Dutch court, where we expect decisions in the second half of this year.
Operator: Christian Fangmann with HSBC has our next question.
Christian Fangmann: I have a couple of questions back on the U.K. We already talked about the ARPU in great detail, but just looking at Q2 and in the following quarters. Is Q1 really the exception, I mean we discuss the reasoning, but do you see already better traction for Q2. I mean the, for example, the VOD sales and stuff like that really impacting Q1. And then also, regarding the TV losses, I think in Q1 was definitely lighter than what we've seen over the quarters in 2018. Is a new strategy when it comes to TVs, so not really pushing the entity to your TV product anymore I mean, you know, a bit of color on that one would be also be interesting to hear. Thanks.
Mike Fries: Sure. I think you got it right on the TV side, it was definitely a focus on higher end, higher return and more profitable TV packages, but you want to address the March and April results more generally Lutz.
Thomas Mockridge: Yes, I mean, Christian, as you know on only, we are not ultimately any forward-looking statement. But I mean we said it the levers for ARPU growth with you guys, right. And first of all, the underlying subscription revenue is still growing. I think that's important. And then, right. We have three levers to play. Now, before we talk about any price increase. One is FMC, one is personal fix and one is intelligent WiFi, right. And of course we don't do that because we want to avoid further shrinkage, we want to increase it. And I think on the video side, Christian, yes, I mean we are focusing a bit more on operating free cash flow and we are looking there for, have the right balance between volume and value in video customer and so therefore we were after more VIP customers in Q1 more full house customers and also therefore we have now launched personal fix. Because here you can bundle 8 to 10 pounds content for our dedicated target group with the V6 box and total claim. So therefore it is a balanced walk towards more value in the video strategy.
Operator: We'll move now to James Ratzer with New Street Research.
James Ratzer: I had two questions please. First one, just regarding the topic if go back to cash return, please is probably one of the biggest decisions, you'll have to make over the next few months. I mean, when you look across the investment landscape. I mean you've been selling your cable business. Is it 10 to 12 times OCF and Telenet sales trades nearer eight times. Do you see anything more attractive to do with the capital then to buy back your own stock versus the valuation is four to five times OCS. And then second follow-up is it still your intention post deal to be keeping leverage at the upper end of your current four to four times range. Thank you.
Mike Fries: I think on the leverage question chime in. We're comfortable where we are today, and you could always trail, but you have to measure or evaluate that decision to use capital against what you just described, which was overturned either on your own stock or other opportunities. Listen at this point, we don't have any transactions in the pipeline large or small that would be an immediate use of proceeds upon closing the transaction this summer. So we're waiting and holding our cards to determine what the right way to address all of those issues you define there capital structure and opportunities and we'll do it in a patient appropriate way, as we have in the past. So that's all I can say. I mean, clearly, as we pointed out on our last call. And as you can see today, the stock is highly undervalued given that's been the assuming the closing of the deals, which are only more certain than they were 24 hours ago and the performance of our underlying business over the long haul, which we still believe is materially better than people are giving you credit for. So we see what you're describing. I will just leave it at that.
James Ratzer: And quick follow up on one of the other potential use of capital that's been talked about is maybe a combination Telenet with VodafoneZiggo, I mean, can you talk us through what operational synergies you might see in such a cross-border tie-up, if that's possible. Thank you.
Mike Fries: Yes. I prefer not to address that. The VodafoneZiggo partnership is a strong one. We're very happy with that relationship with Vodafone in Holland. There will be a natural point in the coming months or years for both parties to determine what the right outcome is. For the partnership and the joint venture, its premature to determine that today and I don't want to create any speculation around it and providing synergies – things of that nature would only fuel that speculation. Telenet on the other hand as a business we are happy to be a 60% shareholder and as you say, highly valued in the marketplace and we're pleased with John's performance and there are organic opportunities to grow Telenet as well as end market opportunities to grow Telenet. So I think both businesses today are doing just fine on their own and it's premature to discuss anything different.
Operator: And we'll take that final question from Matthew Harrigan with Buckingham Research Group.
Matthew Harrigan: I think, everyone agrees you've got more speed any of your peers on broadband but the same time if you look at the global take rates report here, I mean they're pretty much the low-single digit percentages in the lot of geographies and so many apps, am not sure everybody's going to want a light field Tyrannosaurus rex in their living room at some point. Does that give you some pause that you could ultimately have like 200 or 300, there - so cheap and cheerful competitors like in 5G much further out, not the fixed wireless access right now and I know, Europe is behind, but is that something you think ultimately affects your pricing power. If you have a much better product and then the second question is I know Vodafone - continue to do sales and obviously for the German transaction. But what happened, I know it's a discontinued operation. But what happens if the German numbers in Q1 because the revenue in the OCF looked extremely late. Thank you.
Mike Fries: Yes, I think on Germany, Matt, the budget and we're feeling good about performance there more. Generally, we don't have any concerns around the business. There are quarter-by-quarter variances. But I think all things considered, they're hitting the targets that we set for them and that the buyer expects us expects us to be hitting, so no material variability that we're pointing out. On the 5G point, listen 5G will rollout, it won't be fixed wireless in Europe that will probably begin their fixed wireless in the U.S. with questionable capability and execution, we understand and believe but as a mobile product, we're all going to have a 5G phone at some point down the road. But remember this, the average customer, our average customers downloading 150 to 200 gigabytes a month, that's 20 times more than they are doing on their mobile phone. Yet ARPUs are not that far off right. So, the value of fixed line broadband access is phenomenal in comparison to what you're paying for a mobile fixed line of mobile product. And that 200 gigs goes to 700, 800, 900 gigabytes Mobile will also grow. But we'll never reach the kind of the levels that we believe people will acquire in the home for video for other products and services. So both data streams will grow, consumption will grow in both ecosystems and network configurations, but the fixed product is so cost efficient for consumers and for the delivery of data. It's got nowhere to go, but up. So I think it's going to be just as we co-habitat very well with 4G today in LTE 1 gig and 10 gig will co-habitat extremely well with 5 G and when people are in the homes are in their businesses, they are going to rely on 1 gig or 10 gig or whatever they think they need this most cost efficient and certainly most productive and useful and when they're out of their homes, they rely on their mobile phone. So I think the ecosystem will evolve much more harmoniously and look a lot like it does today, with just everybody consuming a lot more and that's a good place to be for us and for mobile operators in the long run. So we see nothing, but positive, to be honest with you. But thanks for the question, Matt. Anyway thanks for joining us. I mean the punch line here is that the Vodafone deal absolutely on track for summer close that should be a positive Swiss market is doing exactly what we wanted to do and providing some nice we think performance for the Sunrise transaction and Virgin Media and our remaining operations, we think are stable and have great prospects going forward. So look forward to talking you about Q2 and thanks for joining us this morning. Speak to you soon. Take care.
Operator: Ladies and gentlemen, this concludes the Liberty Global's first quarter 2019 results investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Global's website. There you can also find a copy of today's presentation materials.